Operator: Thank you for standing by. The conference will begin momentarily. Good morning, and welcome to Crown Holdings Fourth Quarter 2024 Conference Call. Your lines have been placed on a listen-only mode until the question and answer session. Please be advised that this conference is being recorded. I would now like to turn the call over to Mr. Kevin Clothier, Senior Vice President and Chief Financial Officer. Thank you, sir, and you may begin.
Kevin Clothier: Thank you, Elle, and good morning. With me on today's call is Timothy Donahue, President and Chief Executive Officer. If you do not already have the earnings release, it is available on our website at crowncork.com. On this call, as in the earnings release, we will be making a number of forward-looking statements. Actual results could vary materially from such statements. Additional information concerning factors that could cause actual results to vary is contained in the press release and in our SEC filings, including our Form 10-K for 2023 and subsequent filings. Earnings for the quarter were $3.02 per share, including a $2.32 per share gain from the sale of Eviosus, compared to $0.27 per share in the prior year quarter. Adjusted earnings per share were $1.59 compared to $1.24 in the prior year quarter. Net sales for the quarter were up 2% compared to the prior year quarter, reflecting a 4% increase in global beverage can volumes and increased food can volumes offset by lower volumes in transit packaging. Segment income was $428 million in the quarter, compared to $382 million in the prior year, reflecting higher beverage can volumes in Americas and European beverage, increased volumes in North American food partially offset by macroeconomic headwinds impacting the transit business. During the fourth quarter, the company received $338 million from the sale of Eviosus and recorded a gain of $275 million. For the year, the company delivered record adjusted EBITDA of $1.942 billion compared to the record $1.882 billion from 2023. The improvement was driven by 5% global beverage can growth and strong operational performance.
Operator: Performance?
Kevin Clothier: In all of our beverage businesses. The company delivered $814 million of free cash flow after contributing $100 million to annuitize the US and Canadian pension plans and making an estimated tax payment of $50 million related to the Eviosus sale. The company returned $336 million to shareholders in 2024.
Operator: $119 million in dividends,
Kevin Clothier: and $217 million in share repurchases. With our record EBITDA, combined with the net debt reduction of $878 million, we reduced net leverage to 2.7 times at year-end. First quarter 2025 adjusted earnings per diluted share are projected to be in the range of $1.20 to $1.30 per share, with the full-year range projected to be $6.60 to $7.00 per share. The adjusted earnings guidance for the full year includes net interest expense of approximately $355 million to $360 million, depending on the timing of share repurchases, exchange rates at current levels with the euro at 1.03 to the dollar, a full-year tax rate of approximately 25%, depreciation of approximately $310 million, non-controlling interest expense to be approximately $150 million, and dividends to non-controlling interest are expected to be approximately $130 million. We currently estimate 2025 full-year adjusted free cash flow to be approximately $800 million after $450 million of capital spending. At the end of 2025, we would expect net leverage to be closer to our targeted leverage ratio at 2.5. With that, I'll turn the call over to Tim.
Timothy Donahue: Thank you, Kevin. And good morning to everyone. As reflected in last night's earnings release and as Kevin just summarized, operating performance in the fourth quarter was well ahead of last year's fourth quarter, owing to stronger performances across our global beverage can businesses. Fourth quarter beverage segment income improved 17% compared to last year due to a 4% increase in global shipments, high utilization across the network, and continuous improvements in our manufacturing performance.
Operator: In total, adjusted earnings per share were well ahead of last year even after
Timothy Donahue: Americas Beverage reported an 8% income improvement over a very strong prior year fourth quarter, on the back of a 5% shipment increase in the segment. North American volumes advanced 7% in the quarter with Brazil up 4%. For the full year, North American volumes were up 7% and Brazil 10%. We significantly outperformed the North American market again in 2024, which we believe for the full year was up about 1%. Looking ahead to 2025, we expect our North American volume performance to be largely in line with the market. In Brazil, we expect mid-single-digit growth in 2025. European beverage volumes increased 8% in the fourth quarter with shipments notably strong across the Mediterranean and in the UK. This led to significantly higher income in the segment compared to a soft prior year. For the full year, volumes improved 7% over 2023, leading to a record income performance for the segment. We continue to see the conversion to the aluminum can as the package of choice for beverages in Europe, and we expect 2025 to be another record year of earnings on the back of strong demand. Income performance in Asia Pacific remained firm in the fourth quarter, leading to a 27% increase for the full year. Volumes in the fourth quarter were down 4%, mainly a result of our prior year actions to improve revenue quality. While consumer purchasing power across the region remains subdued, our cost reduction programs have positioned the segment well for future income improvement.
Operator: So
Timothy Donahue: Based on current demand forecasts, we expect the segment will be in line to better in 2025 compared to 2024. In line with our expectations, income and transit pack. We remain focused on tightly managing the business and generating cash-on-cash returns. Unlevered free cash flow in this business once again exceeded $250 million. The current outlook for 2025 is for flat to marginally up income performance, with the first six months reflecting current conditions. Volume in North American food improved significantly compared to a soft prior year fourth quarter, with the demand increase balanced across pet food, vegetables, and soups. We expect income in the non-reportable businesses to be up about 10% in 2025. Operationally, 2024 was a strong year. So to summarize, segment income was up almost $100 million, and we generated significant free cash. Hello? Asian production capacity has been rightsized. The sale of our remaining 20% interest in Eviosus was completed. We reduced future balance sheet risk by annuitizing almost all of the U.S. and Canadian inactive defined benefit pension obligations.
Operator: More than $300 million was returned to shareholders
Timothy Donahue: And after all of that, net leverage was reduced to 2.7 times. Looking forward, the company has a world-class manufacturing team capable of serving the needs of a diverse set of global customers from an optimized footprint. We serve a well-balanced portfolio of attractive growing categories. The balance sheet is strong, we generate significant cash flow, and are well-positioned to continue to create and return value to our shareholders. And with that, Elle, we are now ready to take questions.
Operator: Thank you. We will now begin the question and answer session. Please unmute your phone and record your name and company name clearly when prompted. Your name and company name are required to introduce your question. To cancel your request, please press star and then the number two. Our first question comes from the line of Phil Ng of Jefferies. Your line is now open.
Phil Ng: Hey, guys. Congrats on a very strong quarter.
Timothy Donahue: I guess, first,
Kevin Clothier: Tim, Americas has been really strong, especially in the back half of 2024.
Timothy Donahue: What's driving some of the
Kevin Clothier: outperformance? Is continuous, pre-made manufacturing an element of that? And when we look at 2025, what are some of the puts and takes off of a record year? You gave us some outlook on demand, but how do you kind of
Timothy Donahue: see earnings kind of
Kevin Clothier: shaking out this year? And what are some of your customers saying at this point?
Timothy Donahue: Yeah. So I'll deal with the first part of the question first, Phil. I had a look at this. I know last year, the fourth quarter was the strongest quarter we had. The fourth quarter this year came within $5 million of being the strongest quarter, and certainly the back half of both years was much stronger than we've traditionally experienced in the past. A lot of that is due to continuing growing business in South America, that is Colombia and Brazil. Their season is a little different than our season.
Operator: And, again, exceptionally strong demand
Timothy Donahue: around the holiday season
Operator: here in North America.
Kevin Clothier: I'm always a bit surprised. I was a little surprised. The outperformance we had here in Q4 compared to the guidance we gave you previously was principally due to how strong North America was here, or the Americas was here, and specifically North America in the fourth quarter. We did not anticipate that we would exceed last year's record fourth quarter. And we did that. Looking ahead, as we said, we think demand for the company, having outperformed the industry over the last several years, each of the last several years, we think we're largely in line, as we've stated before, with market performance. So if you will, if the market's at the market, give yourself a range of minus one to plus two depending on how promotions go and how strong or weak the consumer is or how strong or weak the consumer perceives he is. You know, the market could be anywhere in that range, minus one to plus two in our view. Others may have a different view. But that would be our view. We have modeled. So you know, we have modeled North American volume to be flat. The numbers that Kevin has provided you. So we are not stepping out on a ledge assuming the consumer is going to be exceptionally strong. Now we'll talk about tariffs, and I'll ask you to allow somebody else to ask that question since you asked yours already. We'll talk about tariffs and the potential impact that tariffs may have on demand. The other puts and takes, obviously, there will be a little PPI give back to the customers when those contracts cycle. The majority of those are April, some in July, a few in January. And as you can tell by our margins, certainly, our margins are very strong and contracts are set very well, but there does come a time when the customers deserve to get some of the money back. When costs come down and while PPI is not a perfect proxy for our cost, and we've talked about this before. Labor never comes down. You can reduce labor content, but labor rate never comes down. And
Kevin Clothier: You know, certainly, the coatings guys have
Timothy Donahue: found a sweet spot in how they can drive value
Kevin Clothier: And we've not seen a lot of
Timothy Donahue: we've not seen a lot of give back from the coating suppliers to us over the last several years. So while not a perfect proxy, it is the methodology used within the contracts and we adhere to. Correct. So that'll be just a couple of the puts and takes. I don't know if I've answered your question. I think I did.
Phil Ng: That's great. And then, Tim, just from a cash flow standpoint, cash flow is strong. Your balance sheet is pretty close to your leverage target. So my question is, what are you going to do with all that cash? Is it buyback? Do you see any opportunities on bolt-ons? Just kind of help us think through how you're going to deploy that capital and unlock value for shareholders?
Timothy Donahue: Well, I think, Phil, let's start with $800 million, and I'll make it as clear as I can. $800 million back off a couple hundred million for dividends to minority partners and dividends to the public shareholders leaves you with about $550 million to $600 million. And as we sit here today, the modeling that Kevin has done, we're assuming 50/50 debt reduction and share repurchase. And that can change depending on where the markets take us here in 2025 and depending on how you all and the buy side determine you want to value us. We continue to believe that we are significantly undervalued given a pristine balance sheet, high cash flow generation, and a low share float, but we'll see how we're valued, and we'll make a decision as to whether we adjust that 50/50.
Phil Ng: And then will you front-load that buyback or is it going to be pretty spread out for the year, just given where your stock price is at?
Kevin Clothier: Phil, I look. I think the share price is at a good price now, Phil. I would expect, you know, through the first half of the year for us to, you know, do something close to the 50/50 that Tim was talking about.
Phil Ng: Okay. Appreciate all the extra help, guys. Thank you.
Timothy Donahue: Thanks, Phil. Thank you. Our next
Operator: question comes from the line of Christopher Parkinson of Wolfe Research. Your line is now open.
Andrew Orme: Hi, guys. It's Andrew, actually, on for Chris.
Phil Ng: Hi. Real quick, want to kind of understand the
Kevin Clothier: sustainability of momentum in Europe. You know, obviously, you've had a couple of really strong orders. How are you thinking about that going into 2025 and sort of what are the puts and takes in the region?
Timothy Donahue: Well, I think it has real traction in Europe. There are, I'm going to use a term, any number, which is kind of a meaningless term, but there are any number of various packaging directives being floated about by individual countries, by the European Union, etc., that either directly or indirectly affect the aluminum beverage can. We believe the aluminum beverage can continues to be the best-positioned drinks package to accomplish everything that the, let's just call them the greens, that the greens want to accomplish. I think that for the most part,
Kevin Clothier: we can always do better, but recycling rates are
Timothy Donahue: certainly much higher in Europe, so we feel very good about that. We need to get recycling rates higher in the United States, but we feel very good about the rates in Europe. And we would continue to expect to see conversion from glass and other substrates to the can. But I think if you
Kevin Clothier: look at glass performance in Europe,
Timothy Donahue: versus can performance in Europe, you can see what's happening, and I don't expect that to slow down.
Andrew Orme: Got it. Thanks. And
Phil Ng: any commentary on Asia on a go-forward basis? In terms of volume especially?
Timothy Donahue: Yeah. So I think, you know, we're up significantly this year, but that's really just clawing back what we gave away the last couple of years, and that was rightsizing the cost-based production into what we believe is a new volume framework until the consumer regains some strength. So the consumer's still a little weak in Asia, in principally all of the Asian countries. We continue to do well in Cambodia. Vietnam's a little softer than we would like.
Kevin Clothier: We've
Timothy Donahue: modeled a decline in our volumes in China, but an increase in Southeast Asia. We've got some other contractual things we're working through, but we think the business is
Kevin Clothier: marginally up
Timothy Donahue: You know, maybe it's income-wise, it's up 2% to 3%, 4% next year compared to this year. So we'll certainly hold on to the gains we've made, and the cost base is really in a good place for when volume returns for it to flow through to the bottom line.
Andrew Orme: Great. Thank you so much. I'll turn it over.
Timothy Donahue: Thank you. Thank you.
Operator: Our next question comes from the line of Ghansham Panjabi of RW Baird. Your line is now open.
Ghansham Panjabi: Good morning, guys. Let me go back to your comments on North American volumes. I think you said the industry estimated plus 1% last year, and then you're assuming flat for this year. If we kind of go back to the, you know, 1998 through
Timothy Donahue: 2018 sort of paradigm where volumes for the industry are flattish, an extended period of time. What is the
Ghansham Panjabi: Well, that flattish is generous, Ghansham. Right? I think you could argue they were down over that period. Right?
Ghansham Panjabi: I rounded up. Yeah. What does that do to your margin profile for that segment?
Timothy Donahue: In context of, you know, being at record margins in 2024. Well, it doesn't have to do anything. It really depends on the behavior of the participants. You know, we've talked previously about the value proposition that we offer to our customers, all of us, the aluminum beverage can world, offer to our customers. It is a package that costs a lot of capital to install, to run, incredible amounts of talent and discipline in the factories. We all possess it. We all deliver that quality and service to our customers. We deserve to get paid for it. Now post the COVID boom, we had a number of independent one-liner guys think that they could just step in and make cans and
Ghansham Panjabi: I don't want to say they failed miserably, but
Timothy Donahue: they didn't do too well. And so three of them are gone now. I think the other participants that we still have remaining in the market, two of them are part can companies in other parts of the world, they're going to succeed. So the competitive profile is certainly different in the marketplace than it would have been three or four years ago, and we all have to learn how to compete in that environment. But, you know, it's incumbent upon us to hold price, to do better in manufacturing so that we can
Ghansham Panjabi: keep more
Timothy Donahue: of the manufacturing improvements that we make for our shareholders. We can't just be in business to return all the value from our hard work to somebody else's shareholder group. So you know what? Nothing solves your problems like volume growth. Right? On the other hand, most of us did fairly well.
Ghansham Panjabi: For a large period of time. So if you took 1998 to 2018,
Timothy Donahue: we all did fairly well in terms of cash generation. Margins did grind down. But we generated cash. We didn't spend a lot of capital, and we returned that value to shareholders. We have to find the sweet spot in all of that as an industry. And no one company can do it themselves. Gotcha. Got it. And then if you switch to transit, you know,
Ghansham Panjabi: just given the elongated downturn, you know, two-year manufacturing recession globally, etc., I know you've taken costs out of the system, but know, what else are you looking at in terms of
Timothy Donahue: So on the positive variances to kind of get you through this period before volumes hopefully inflect higher at some point. Yeah. So, I mean, there are things we do in that business that you don't see or we don't report. We have consolidated some facilities. We don't necessarily call them out because the
Ghansham Panjabi: you know, the cost is relatively inexpensive. That is
Timothy Donahue: you know, if it's $5 million, it's a lot. Sometimes it's below $5 million. So we are doing that. I hesitate to do a whole lot more. We took a lot of cost out. And, you know, at some point, industrially, we're going to have a bounce back. I don't know when that is. And I've gotten it wrong in the past, so I don't really want to call it again. I do think the first six months of this year are going to be more of the same, and, you know, we're hopeful that
Ghansham Panjabi: we
Timothy Donahue: get some uptick in the back half of the year. We are starting to see, you know, some green shoots in the protective space. What we really need to see is capital equipment orders tick up, and we haven't seen that yet. But I think the cost base is in pretty good shape. The amount of volume we and others have lost in that space, and I guess if you looked at other industrial companies you cover, depending on what industrial applications they're in,
Ghansham Panjabi: they may have similar
Timothy Donahue: experience as well.
Ghansham Panjabi: Yeah.
Timothy Donahue: Thank you.
Ghansham Panjabi: Thank you.
Operator: Thank you. Our next question comes from the line of George Staphos of Bank of America. Sir, your line is now open.
George Staphos: Thanks very much, everyone. Good morning.
Ghansham Panjabi: You might need to take some honey or something. Good luck fighting whatever you got there.
Timothy Donahue: Yeah. I don't, you know, I don't know what I did here, George, but I haven't been able to get rid of it.
George Staphos: So
Ghansham Panjabi: You're in Florida for crying out loud. But, anyway, good luck as well this weekend.
George Staphos: Listen. If you could talk a little bit more about what you're
Ghansham Panjabi: seeing in Europe in terms of the volume outlook, it sounds positive. At the end of the day, we're not going to hold you to anything specific. But do you have the opportunity given, you know, your answer, I think, to Ganesh or somebody else's question in terms of, you know, the green trends there are to see mid-single-digit or better growth? You had teed up the question on tariffs, so I will take that one
Ghansham Panjabi: kindly as well in terms of what you see as the puts and takes there.
George Staphos: And then lastly, I think the answer is no, but I'll ask the question
Ghansham Panjabi: anyway,
George Staphos: do you see, given the balance sheet positioning, given where you're at, given the cash flow, to do anything beyond what you have been doing in terms of normal cap allocation for productivity for
Ghansham Panjabi: growth. Do you have
George Staphos: another couple of years left to grow into your capacity across your major regions? Thanks and good luck in the quarter.
Timothy Donahue: Okay. So mid-single-digit growth in Europe? Yes. Can we grow into the capacity we have installed over the next couple of years without significant capital being spent? For the most part, yes. We've got a line we're going to install in Thailand in the near term. It's a joint venture with a very large global energy company, and they want us to expand the footprint there. But that's within the envelope Kevin's described. I think the envelope we've described, $450 million, you know, George, if you want to think about $400 to $500 million, that envelope, you know, beyond $250 to $300 million of maintenance, will cover any necessary growth. But I don't really see the need right now to spend a lot of money in any of the major beverage regions. I think we're pretty well set. And I guess your last question was tariffs. Is that correct?
George Staphos: That is correct.
Timothy Donahue: So I think the biggest impact from tariffs is likely to be the impact that the consumer is going to feel if there is an inflationary impact from tariffs. So indirect to us, you know, I'm going to say almost all of the aluminum. I think it is all, I think, but almost all of the aluminum we buy in the U.S. is domestically sourced. Our aluminum that we buy in other regions in North America does not come from the U.S. So we're not seeing any of that. There will be other direct materials that do come from the U.S. to Canada and Mexico, coatings and the like. And we'll have to work through that. And on a sales point of view, what we make in Mexico stays in Mexico. Almost 99%, 98% stays in Mexico. So we don't expect our Mexican customers to feel the pinch of having to export their product from Mexico into the U.S.
Ghansham Panjabi: We make I think everything we make in Canada in beverage stays in Canada.
Timothy Donahue: Maybe there's some exported Canadian beer back to the U.S., but that's always what it's been, and they generally sell for premiums anyway. There are food cans and aerosol cans that move across the border from the U.S. into Canada. And to my knowledge, there is not a sizable food can or aerosol can manufacturer in Canada. So I would expect that we are going to have to pass those costs on. So I think largely, George, I think it's a from where we sit on tariffs, it feels like it's an indirect exposure that we have if the consumer feels the pinch from it and dials back their purchasing habits.
George Staphos: Tim, thanks so much. Great rundown. I will turn it over. Thank you very much.
Timothy Donahue: Thank you, George.
Operator: Thank you. Our next question comes from the line of Stefan Diaz of Morgan Stanley. Your line is now open.
Stefan Diaz: Hi, everybody. Good morning. Thanks for taking my question.
Ghansham Panjabi: And
Stefan Diaz: Maybe just back on the tariff topic and, you know, maybe another way to ask this is, you know, we saw significant aluminum and, you know, Midwest premium inflation at the beginning of 2022,
Ghansham Panjabi: How did your customers react
Stefan Diaz: during that time period
Ghansham Panjabi: And
Stefan Diaz: know, let's say that tariffs lead to, you know, premium inflation again, do you think there'd be any reason they would react differently this time?
Timothy Donahue: Well, the customers in 2022 reacted by pushing the price of a twelve-pack of soda from $3 to $9 or they got themselves to $9 along the way, and that had some demand implications. But by and large, they recovered or over-recovered their costs. They made a lot of money on their top line.
Ghansham Panjabi: And consumers
Timothy Donahue: more or less found their way to continue to buy beverage cans. You know, how high can you push a twelve-pack of soda? I don't know. But the Midwest premium
Ghansham Panjabi: well, there are customers who buy their own metals, so for them, it's on their account.
Timothy Donahue: And then for those customers where we procure the metal, it's pass-through. So I would expect we're going to see significant Midwest premium increases. Yes.
Stefan Diaz: Okay. Great. Yeah. That's helpful. And then maybe we could just spend some time in your other businesses in Americas, you know, Brazil, Mexico, and Colombia. You know, what are you seeing as far as the consumer there? What's driving the strength in those regions and, you know, maybe you could expand a little bit on your expectations for 2025.
Timothy Donahue: Yeah. So listen. You've always heard us say, and I always feel like I'm repeating myself. It's only the can business. We're not making airplane engines for jets, so it's not as complicated as we want to make it. But Brazil's a market. I've said it before. If you can have ups and downs and hiccups along the way, but if you look at it over a three to five-year period and you draw a graph, it's always growing. The trend line is up. And so we had a down year in Brazil, late 2022, early 2023, and we bounced back nicely.
Ghansham Panjabi: I think they are you know, the Brazilian economy is sorting its way
Timothy Donahue: through inflation and unemployment. They always have, you know, their statistics are certainly shockingly high compared to ours, but in their environment, it's always been high, so they're used to that. And, again, the fourth quarter, first quarter are the big seasons for them. So we continue to expect Brazil is going to do well over the medium to long term. There could be hiccups along the way, but as we've said, we don't get too excited. It's an investment we've made, and we believe in the market. Colombia. We have a very, it's a one-line plant, but it's a large line. It's a high-speed line. We do have a partner there who takes a significant amount of cans, and we have another global customer that also takes a significant amount of cans, and we run that plant well from a manufacturing standpoint. The plant was built in '96. I've said it before. I don't know where the sweet spot is from a manufacturing standpoint for a facility and the workforce, but we are feeling a really good sweet spot right now in Colombia. The performance that the team there has generated has been nothing short of excellent over the last twelve months. So, again, a one-line plant but sold out and doing very well. Mexico, this is principally the business we acquired ten years ago. We make all the beverage products, if you will. We make beverage cans. We make beverage bottles only. No bottles for any other product other than beverages, principally beer and soda. We make bottle caps, and we make aluminum roll-on closures for the aluminum bottle.
Ghansham Panjabi: So
Timothy Donahue: Again, largely sold out, doing well. We might have a little mismatch this year
Ghansham Panjabi: whereby we
Timothy Donahue: we gained a customer last year. We lose a little bit from one customer this year, so it's a little mismatch. But by and large, again, a really solid business. As Kevin likes to remind me, it's more than a billion-dollar business in Mexico. So it is a large business. We don't talk about it. We jump right from the U.S. down to Brazil, but in between for Crown, there's a business in excess of a billion dollars, and we call that Mexico.
Stefan Diaz: Great. Thanks for the color, Tim. I'll turn it over.
Timothy Donahue: You're welcome. Thank you. Thank you. Our next
Operator: question comes from Arun Viswanathan of RBC Capital Markets. Sir, your line is now open.
Arun Viswanathan: Great. Thanks for taking my question. Congrats on the strong results here. So I guess first off, just curious on your take on pricing and returns. We've been hearing that there's a little bit of overcapacity in certain parts of North America, especially maybe the Midwest. And there's been some changes in ownership and some plants. So just wanted to get your take on, you know, how pricing maybe, you know, could transpire over the next year or so.
Timothy Donahue: Yeah. Listen. I don't, you know, when you think about regionally where the overcapacity might exist in the U.S., we, especially the large suppliers, we all operate from a North American platform, and I don't think, listen. I don't know, but it should be surprising to me if anybody has regional pricing in North America. So now if there's overcapacity and there's a new entrant there that's causing a problem, okay, they're causing a problem. Well, you're talking about a business, you know, a market that's 120 billion cans. And if you're going to get excited about 600 million cans in Indiana, or wherever in the Midwest you're talking about
Ghansham Panjabi: And you're going to allow that
Timothy Donahue: to dictate your pricing architecture for the rest of the 120 billion cans in your marketplace, then you need to change a whole bunch of people in the industry before you're going to have a successful industry. I think we have a successful industry. And I think it's very healthy that the one-liners have kind of flushed themselves out. I don't wish ill on anybody, but I hope the lessons, their failure lessons, people have a long memory before they try to enter a market like the can-making market again with a lot of capital, not understanding the requirements not only from an engineering standpoint but from a daily workforce standpoint, what it takes to make cans. And, you know, the multinationals that are here, we do that really well. You know, you're always surprised when you hear people think that they can, you hear people say they can do something as well as somebody else having never done it before. So I don't feel good about the fact that some of these guys have gone bankrupt, but I hope that lesson is long for anybody else considering it.
Arun Viswanathan: Okay. Appreciate that. And then, also just want to ask about your thoughts on Asia Pacific. You know, we've had some challenges for the consumer there as well, but and then, you know, changes in
Ghansham Panjabi: different laws and regulations that affected your business a little
Arun Viswanathan: while ago. So do you feel like you kind of stabilized in that region? And maybe what's your outlook for how we should grow there? Thanks.
Timothy Donahue: Yeah. Listen. I think we're stabilized. You know, you're always back to, in a market like Asia Pacific, specifically Southeast Asia, it's been a growth market for us for so long. But at some point, you transition from your focus being on growth to your focus being on income growth, and I think we've made that transition now. We are focused on generating good returns. I think we have high teens returns now in the market. A lot of cash flow, that is, our capital needs in the region are not very high any longer, so there's a lot of cash flow. And I think that transition is well underway. We are well-positioned to accommodate
Arun Viswanathan: growth if and when the consumer gets healthy. But for the time being, we are
Timothy Donahue: we're making really good returns, and we're generating a lot of cash. And I think that
Ghansham Panjabi: I think we're probably still a year away before we see the consumer in Asia
Timothy Donahue: really feel healthy again.
Operator: Alright. Thank you. Our next question comes from the line of Gabe Hajde from Wells Fargo Securities. Your line is now open.
Gabe Hajde: Tim, Kevin. Good morning.
Timothy Donahue: Morning, Kevin.
Gabe Hajde: You mentioned
Arun Viswanathan: adhering to contracts, which I think is a principal thing to do. Tim. So I was curious if there is anything
Ghansham Panjabi: unique
Arun Viswanathan: about contracts that
Ghansham Panjabi: you all entered into. I know that
Arun Viswanathan: guys were trying to include different escalators for freight and aluminum premium along the way, and that's like a decade-long process. But were they shorter-term in nature or anything like that, meaning contracts always show up
Ghansham Panjabi: from 2019 to 2023 time frame
Arun Viswanathan: such that there's more to come up for renewal? I think last time, you said you kind of feel good through 2027, but just you're willing to put a number on a portion of your North American business that's
Ghansham Panjabi: contracted in 2025 and 2026.
Timothy Donahue: Yeah. So I'll confirm what we've said before. We don't see any major contract renewals coming due until the end of 2026 going into 2027. We believe, as I said earlier, we're going to be largely in line with the market in 2025. I didn't say it earlier, but I think as we sit here today, we believe we're going to be ahead of the market in 2026, but we'll have plenty of time to reconfirm that as we go through the year. So that would suggest to you that we believe we have business in 2026 under contract that begins in 2026. But we'll come back and address that in July and October.
Gabe Hajde: Understood. And you called out North America, Brazil for volume in the fourth quarter and full year.
Arun Viswanathan: Alright. Would you could you tell us what Mexico was? It sounds like it was good and picked up some business and then maybe in 2025 it reverts back out. But just
Timothy Donahue: we've got, yeah. In Mexico, we were down a couple percent in the fourth quarter. Looks like we're down 2.5% in the fourth quarter. Looks like the industry was down 3.5%. These are estimates and or information we get from the CAN Association in Mexico.
Gabe Hajde: Understood. One quick last one. Hopefully, maybe, Kevin, it looked like DNA was ten million below
Arun Viswanathan: in the fourth quarter. And I think the number you gave us was $310 million for depreciation. Again, Amort was running
Gabe Hajde: a bit light in the fourth quarter. By my math, that's about a fifteen-cent bump in 2025 guides. And then if I build up from free cash flow, I'm getting to, like, a $19.60 number for EBITDA. Any comments there?
Kevin Clothier: So, Gabe, just in terms of depreciation, amortization, we exclude the amortization from our guide. So I don't see that as the bump. Your EBITDA around $19.60 is within the range of where we're at. I would confirm that depreciation around $310 million. We're still spending more in terms of capital than depreciation, so you would expect depreciation to go up year on year as a result.
Gabe Hajde: Great. Thank you. Good luck.
Timothy Donahue: Thanks, Gabe.
Operator: Thank you. Our next question comes from the line of Joshua Spector of UBS. Thank you, and your line is now open.
Anojia Shaw: Hi. Good morning. It's Anojia Shaw sitting in for Josh.
Timothy Donahue: Good morning.
Anojia Shaw: Morning. I wanted to ask a question on transit.
Kevin Clothier: I know you need to see sustainable improvement in industrial
Anojia Shaw: activity to see real improvement there. But in the past, you talked about the secular trend of companies wanting to automate the back end of their manufacturing process. You know, the parts through warehousing and distribution. Have you seen any benefit from that yet, that maybe being obscured right now, or is that just not something that is benefiting you?
Timothy Donahue: No. I would tell you that, yes, we've seen benefit. Not only third-party customers have utilized the back-end automation services of Signum, but we had grounded with an automated warehouse in our new plant in the UK. Really quite amazing. If you ever get a chance to go over there, we'd love to show it to you.
Ghansham Panjabi: I think in large part,
Timothy Donahue: that's being master offset by
Ghansham Panjabi: the
Timothy Donahue: I don't want to say dearth of equipment orders, but the very low level of equipment orders for standard strapping and wrapping equipment that we traditionally have seen in the past.
Anojia Shaw: Okay. Thank you for that. And then, for a few quarters now, you've been talking about manufacturing improvements and excellent manufacturing performance. Can you give a bit more detail on this? Are there things that are being done now that weren't being done before, or is it more about strong volumes and operating leverage?
Timothy Donahue: Well, you know, you hit it with the last thing. Right? Volume cures all your ills. I probably have said that before. And it happens in two ways. A lot more volume. You just generate more income naturally, more absorption. But when you're running more volume, the workforce is certainly more focused on trying to be as efficient as possible so they can run more volume. But largely, we're talking about efficiency and spoilage. Asset utilization, more cans out the back end of the line with fewer labor hours, fewer line hours.
Ghansham Panjabi: And
Timothy Donahue: you know, I'm always hesitant to do this, but we did change out the vice president of manufacturing, and that has had a tremendous impact on performance in North America.
Anojia Shaw: Okay. Thank you. I'll turn it over.
Timothy Donahue: Thank you. Thank you.
Operator: Next is Anthony Pettinari of Citigroup. Your line is now open.
Anthony Pettinari: Good morning.
Ghansham Panjabi: What happened? Tim, you talked about substrate
Timothy Donahue: substitution having a really good runway in Europe. Which we've definitely seen from your results.
Anthony Pettinari: Is it fair to say the vast majority of that is, you know, glass into cans rather than plastic? And then I'm curious when you look at, you know, US, Mexico, Brazil, how much runway does substrate sub, you know, are we in the kind of later innings in the US or just how we should think about that?
Timothy Donahue: So I think you're right. That the biggest substrate shift in Europe is glass to can, and principally that can be around cost with some environmental as glass is heavier and breaks obviously than cans. I do think the proliferation of plastic has slowed in Europe. I think there's still a long way to go conversion of plastic to can. United States, there's almost no glass left in soft drink.
Ghansham Panjabi: And
Timothy Donahue: cans have a 65% to 70% share in beer already.
Ghansham Panjabi: So I think
Timothy Donahue: in the US, the glass can transition is, I don't want to say it's complete, but it's substantially complete. And if you think about PET, there's a huge runway for PET. I've never been a big believer, and I know
Anthony Pettinari: a lot of investors and analysts
Timothy Donahue: don't like when I say it. I'm not a big believer in flat water converting from PET to cans, but I do believe there's runway for CSD to convert from PET to cans, but that's going to take a government and or some other push
Ghansham Panjabi: for the marketers of those drinks to want to move away from
Timothy Donahue: PET to can. Brazil, in beer, we're 65%, 70% cans now. Soft drinks are still 80% EEG in that market. And in Mexico, levels are
Ghansham Panjabi: much lower. I think the can is
Timothy Donahue: probably Tom, what do you think about 25% for beer right now in Mexico? So there's a lot of room in can. And on soft drinks, there's also room both from glass and PET to come back to the can. But that market probably takes a little bit longer just because of disposable income.
Anthony Pettinari: Got it. Got it.
Ghansham Panjabi: That's extremely helpful.
Anthony Pettinari: And then just switching gears. In your discussion on tariffs,
Kevin Clothier: I don't think you mentioned transit. Is there a meaningful impact there or any kind of
Anthony Pettinari: I don't know. Percentage of goods that kind of cross borders or
Ghansham Panjabi: anything we should keep in mind.
Timothy Donahue: Yeah. I think the opportunity is that with more appropriate tariff levels on China, perhaps even higher than the president recently announced, we protect the domestic transit business as well as the domestic food can and domestic aerosol can business. So there's an opportunity there. We'll see. You know, one thing that's not talked about a lot, and the Can Manufacturers Institute just wrote a letter to President Trump, and we're hopeful he undertakes it seriously. But the 232 tariffs implemented in 2018 had the negative knock-on effect of customers and others circumventing the 232 tariffs on tinplate and just importing filled goods from China. So when you buy your peaches or you buy your vegetables, you're getting Chinese corn. You're not getting corn grown in the United States by a United farmer under USDA regulations. You don't know what you're getting.
Ghansham Panjabi: So, in
Timothy Donahue: in a lot of ways, that could be helpful. We'll see where it goes.
Anthony Pettinari: Okay. That's helpful. I'll turn it over.
Timothy Donahue: Thank you. Thank you. Our next question
Operator: comes from the line of Edlain Rodriguez of Mizuho. Your line is now open.
Edlain Rodriguez: Good. Thank you. Thank you very much. Good morning, everyone.
Ghansham Panjabi: With Tim, in terms of your volume, I would look for North America. And I think you said that you expect to just track the market going forward. But are there any I would go to market. Like, I mean, can anything be happening that would allow you to I would go to market there?
Timothy Donahue: Well, I don't, you know, the answer is yes. Let's say that the end markets that are within our portfolio that we serve, for example, we have a very strong position in carbonated water.
Ghansham Panjabi: If that performs CSD, then yes. We'll do a little better than the market. We do have a growing energy presence
Timothy Donahue: So if the labels that we supply in energy and or the labels we supply in the other alcoholic other than beer perform better than beer?
Ghansham Panjabi: Then we have the opportunity potentially to outperform the market. But
Timothy Donahue: as we said, the guidance we're giving you is predicated on us performing in line with the market.
Edlain Rodriguez: No. That's great. And in terms of your business in Asia, like, when do you expect from everything you're seeing down there, when can we when do you expect to see volume return in to your business there?
Timothy Donahue: Well, I think the
Ghansham Panjabi: I think, you know, I think we're
Timothy Donahue: as we sit here today, we're thinking that we're going to see positive volumes in Southeast Asia in 2025. Offset by some volume downturn in China as we walk away from unprofitable business. I think longer term, though, I think I said earlier, we still believe that consumers are about twelve months out before they get comfortable to really return to consumer buying habits that we saw pre-pandemic.
Edlain Rodriguez: Okay. Thank you very much.
Timothy Donahue: You're welcome.
Operator: Thank you. Our next question comes from the line of Mike Roxland of Choice Security. Your line is now open.
Mike Roxland: Yes. Thank you, Tim, Kevin, Tom for taking my questions, and congrats on a strong finish to the year.
Timothy Donahue: Thank you.
Mike Roxland: One just one quick question from me. You mentioned, you know, North American food can doing better.
Timothy Donahue: You know, what's driving that? Because it had been a little bit of a problem area for a few quarters. So what's driving that improvement in performance and should we expect those trends to persist?
Timothy Donahue: Yeah. So just so we're clear, within that non-reportable, we have food cans, aerosol cans, and vacuum closures in the United States as well as the beverage can equipment business, which is based out of the UK. Food cans have been relatively stable to up for the last six to eight quarters, even if volume has been a little sideways, that performance in food cans has been good. We've seen a market downturn in beverage can equipment orders as the beverage can growth story has, you know, subsided a bit here globally. And we're shipping less equipment, as are the other equipment suppliers. And aerosol cans have been a bit subdued, although that has bottomed and it looks to be a better year next year. But two things. I think volume in the fourth quarter last year was pretty soft, and volume returned this year. We have a very well-balanced portfolio. We have a significant pet food presence as well as a leading vegetable presence. So those customers are just doing quite well in the fourth quarter.
Mike Roxland: Thank you.
Timothy Donahue: You're welcome. Al, if there's one more question, we'll take one more question.
Operator: Yes, sir. We'll take the last question from George Staphos of Bank of America. Your line is now open.
George Staphos: Hi, everybody. A couple of sort of modeling questions quick. And a bigger picture question, Tim, to the extent that you have a view on it. So first of all, I mean, we can do the calculation on ourselves for ourselves, Kevin. But FX, what do you expect that will be in terms of your forecast for the year from an earnings per share standpoint given where we sit right now? Pension, is there any benefit from the work that you did last year in terms of the earnings outlook for this year? Then, Tim, the bigger picture question again to the extent that you have a view
Ghansham Panjabi: where do you see
George Staphos: innovation, especially in the alcoholic and your beer side? I recognize you're not big necessarily in beer, you are trying to grow in other end markets. What appetite, what momentum do you see out of that customer base and the likelihood that they're going to continue to use cans or maybe grow their use of cans in 2025, 2026, and thereabouts? Thanks. Good luck in the quarter.
Kevin Clothier: Thanks, George. So, George, in terms of FX,
Ghansham Panjabi: the rates of the dollar
Kevin Clothier: strengthened considerably in the fourth quarter. If we look at year on year, the impact of
Ghansham Panjabi: translation
Kevin Clothier: it's probably impacting the projection by about ten cents, which is already baked into our guide. Okay. From the pension perspective, pension, as you know, we annuitized the US largest US Canadian pension improvement, you know, in the neighborhood of, you know, like, eight cents, I think, is the number of the improvement
Timothy Donahue: around innovation.
Ghansham Panjabi: And then George, just dealing with the other question
Timothy Donahue: You know, we're fortunate that there's no shortage of folks out there looking to develop and market brands, and you know, you look at price points in the marketplace, what the consumer is prepared to pay, higher price points for, it lends you to energy and alcoholic. Not the CSD and certainly not the flat water. So I would expect we're going to continue to see
Ghansham Panjabi: flavored
Timothy Donahue: a variety of flavored vodka-based and other alcoholic-based beers flavors like tequila, etc., as opposed to the malts that were the original alcoholics that came out. And I think we're going to continue to see a variety of energy and or other quasi-energy nutraceutical-infused drinks that are potentially or viewed as potentially performance-enhancing. But I think that, you know, the upshot to that is that
Ghansham Panjabi: traditionally,
Timothy Donahue: well, I'll say it this way. I think the upshot to that is those drinks are largely offered
Ghansham Panjabi: in the can.
Timothy Donahue: And the products that they, so it's either incremental and or the products that they are cannibalizing are offered in can or other substrates. So it's a certain pickup for us, and it doesn't mean we're cannibalizing the can. It could be that we're picking up total share of stomach as a substrate within the can.
George Staphos: Makes sense. I'll turn it over to him, and thanks again.
Timothy Donahue: Thanks, George. Okay. So, Al, I think you said that was the last question.
Operator: So thanks to everybody for joining us. We'll speak to you again in April after the completion of the first quarter. Bye now.
Operator: That concludes today's conference. Thank you, everyone, for participating. You may now disconnect, and have a great day.